Operator: Ladies and gentlemen, welcome to the ABB Q1 2019 Results Conference Call. I am Moira, the Chorus Call operator. I would like to remind you, all participants will be in listen-only mode and the conference is being recorded. [Operator Instructions] The conference must was not recorded for publication or broadcast. At this time, it's my pleasure to hand over to Mrs. Jessica Mitchell, Head of Investor Relations. Please go ahead, Madam.
Jessica Mitchell: Thank you. Good afternoon, ladies and gentlemen, and welcome to this webcast and conference call which will cover ABB's press announcement from this morning and a briefing on ABB's first quarter results. We will then open the lines for you to ask questions. The press releases and analyst presentation were published this morning at 7:00 AM and can be found on our website. This briefing is being webcast via our IR website, as well as being recorded. With me today is our Chairman and Interim Chief Executive Officer, Peter Voser; and ABB's Chief Financial Officer, Timo Ihamuotila. Before we begin, I would like to draw your attention to the important information regarding Safe Harbor notices and our use of non-GAAP measures on Slide 2 of the ABB presentation. This conference call will include forward-looking statements. These statements are based on the company's current expectations and certain assumptions, and are therefore subject to risks and uncertainties. With respect to our results, please also recall that further to the announcement of the sale of our Power Grids business on December 17, the results of our Power Grids division are now presented as discontinued operations in our financial information. Our results from prior periods have therefore been recast and orders, revenues and operational EBITA results record our continuing operations and exclude Power Grids. Thank you for your attention, and I will now hand you over to Peter.
Peter Voser: Thank you, Jess, and a warm welcome to all of you for this call. I would like to start by providing you with the background to the leadership change we announced this morning and how we plan to manage this transition. After which, I will hand over to Timo to take you through the results for the quarter. Over the last year, we have been very active as a board in working with the Executive Committee to define a new phase for ABB, positioning the company to be a leader in digital industries. The culture change we are seeking to drive through this transformation will take several years to achieve. Given the timeframe, we believe the time is right to appoint a new CEO to steer ABB through the next phase of its development. As announced this morning, Ulrich Spiesshofer is stepping down as CEO after more than five years at the helm and nearly 14 years as a valued member of the Executive Committee. Effective immediately, I will lead the company as CEO on an interim basis, in addition to my duties as Chairman until a successor has been appointed. I would like to take this opportunity to thank Ulrich for his many years of commitment and dedicated service to ABB. Over the past five years, he has laid the foundation for our company to compete in digital industries and to deliver profitable growth. He also turned around the robotics business a few years ago and strengthened our global brand and positioned us in the exciting e-mobility space. We wish him all the best in his future private and professional endeavors. The Board of Directors Governance and Nomination Committee will now start the selection process aimed at choosing a candidate with the skills and attributes to drive a high-performance, high-integrity culture, consistent with our values and goals and to lead ABB for the future. As we take this step, I want to be clear that we will not change the strategy presented to you at our Strategy Update on the 28th of February, which has the full support of the board. Our aim, as you hear – as you see here on Slide 4, is to deliver long-term value for shareholders through attractive growth, stronger margins and optimal deployment of capital. The new ABB investment proposition outlines a clear roadmap to achieve this, a new medium-term financial targets to which we are fully committed. The full attention of the board and the Executive Committee remains firmly on driving operational execution to deliver these outcomes whilst managing the transformation. We will demonstrate our intent after the closing of the Power Grids transaction with our commitment to the return of net proceeds to shareholders and our commitment to delivering attractive returns over the longer term. With that, I will give back you now – or I give it to Timo to take us through the results.
Timo Ihamuotila: Thank you, Peter and Jess, and welcome from my side as well. I will start with the review of ABB's results for the quarter and then provide an update on our transformation agenda. Slide 5 provides an overview of the results from a financial perspective. As you can see, on a comparable basis, we delivered another quarter of solid growth in both orders and revenues, despite the softening in some key end markets, such as discrete manufacturing and automotive. This demonstrates the quality and resilience of our new portfolio as we focus more in digital industries. Total orders were $7.6 billion, up 3% from Q1 2018, including base orders of $7.3 billion, which were up 6% year-on-year. Revenues were $6.85 billion, up 4%. Operational EBITA margin was 11.2%, impacted 100 basis points by stranded costs and a further 100 basis points by the dilution due to the consolidation of GEIS. The group's basic EPS of $0.25 was 6% lower, while operational EPS of $0.31 was up 5% year-on-year in constant currency terms. The group's cash flow from operating activities was a negative of $256 million for the first quarter. The next slide shows you order development on a geographical basis. As said, for the first quarter, total orders rose 3% and base orders rose 6%. In the Americas, total orders were up 9%, while base orders were up 7%, including strong growth in Canada. The United States was solid, with total orders growing 7% and base orders growing 4%. In Europe, the picture was more mixed. Total orders were 3% lower, impacted by lower large orders in Industrial Automation in the region, relative to the same period last year. Base orders in Europe were 6% higher, with strong order growth in Germany at plus 10% and solid 5% growth in Italy. Further, you can see that Asia, Middle East and Africa region also produced solid quarter growth, up 5% for total orders and 4% for base orders. In China, total orders grew 6%, while base orders grew 1%, reflecting softer demand in the discrete and process industries. Robotics orders grew modestly in China, with strong solution orders, more than offsetting softness in demand for robots. Now let's look more closely at the first quarter on divisional basis, starting with electrification products on Slide 7. We saw solid top line momentum, with total orders increasing 6% and third-party base orders rising 5%. The division saw a strong growth in its systems business as well as across its core products business and in focus growth areas, including data centers and eBay charging. Orders rose in all regions, led by the Americas. Revenues were up 5% year-on-year, and the order backlog ended the quarter up 6% compared to the same period last year. We also saw solid growth in GEIS revenues. The division's operational EBITA margin was 280 basis points lower year-on-year. The effect of consolidating GEIS was approximately 270 basis points in the quarter. Underlying performance was steady, with the positive impact of higher volumes, offset by negative mix effects. As noted previously, over the remainder of 2019, we aim to offset much of the dilution to operational margin from a full year's consolidation of GEIS when compared to the full year of 2018 margin, which had only six months consolidation impact. However, for Q2, we still expect a significant dampening impact from GEIS when compared to the same quarter a year ago. Overall, we expect some accretion in electrification's operational EBITA margin sequentially in Q2. Next, on Slide 8, we have Industrial Automation. In this division, total order development reflects a tough comparison base for large orders, which were strong in the same period last year. However, third-party base orders improved 7% year-on-year. Base orders were strong across process industries, including pulp and paper and mining and in marine, while more subdued in discrete automation, particularly in the EMEA region. Year-on-year revenues were steady, with good backlog execution. The order backlog was 2% higher at quarter-end. Operating margins were 110 basis points lower relative to a strong Q1 2018, impacted by business mix and higher investments for growth. Looking ahead, under the new business model, discrete automation will combine with robotics, and that will have a slight positive impact on the new Industrial Automation business operational EBITA margin. We also expect the differential for the year-on-year margin to narrow next quarter when compared to the 110 basis points recorded in Q1. Turning to Robotics and Motion on Slide 9, which delivered a solid performance in the quarter. Total orders grew 5% and third-party base orders grew 4%. Again, a tough comparison for the same period last year. The division saw strong broad-based growth in motion, with some large orders in rail. In robotics, orders were steady. Revenues improved 7%, supported by a strong book-and-bill in Motion. The order backlog at quarter-end was up 9% year-on-year. The division delivered an operational EBITA margin of 15.1%, slightly down year-on-year, as volume leverage in motion was offset by significant negative mix in robotics due to more solutions revenues. Looking ahead to the second quarter, under the new business model, we expect continued solid execution in the Motion business. The newly formed Robotics & Discrete Automation business is expected to see a significant dampening or [indiscernible] dual headwinds of the softer robotics market and slowing of discrete manufacturing in some key geographies. Against this backdrop, the Robotics & Discrete Automation business could start its operations with an operational EBITA margin around the lower end of its new medium-term target margin range. ABB is aiming to provide recast historic data for its new businesses to the market by middle of May. Let's now consider the main drivers of our margin on a year-on-year basis on Slide 10. Net cost savings amounted to $91 million, supported by our ongoing focus on supply chain management and productivity. We saw a more neutral impact from raw material costs of plus $3 million. Volumes had a positive impact, contributing $79 million, partly offset by the mix effects already discussed, which had a dampening effect of $39 million. Investments in growth, namely sales and R&D, were $29 million higher year-on-year on a net basis. We had reduced our G&A through tighter management of functional costs, such as the information systems, while increasing investments for growth. We intend to drive this overall trend going forward as part of the ABB operating system. Other category shows a negative impact totaling $45 million, and the FX headwind was $56 million this quarter. On Slide 11, we break down the net income drivers to show the changes that have taken place following the announcement of the sale of Power Grids and our ABB-OS simplification program. Non-operating items reflect the continued implementation of normal restructuring programs within continuing operations as well as $90 million of restructuring and related cost associated with our simplification actions. On a cumulative basis, approximately $85 million of the estimated $500 million restructuring and implementation costs for ABB-OS have now been recorded. Further, $20 million of Power Grids related transaction and separation costs were recorded in Q1. Looking at discontinued operations, where Power Grids performance is reflected, $149 million of net income was recorded. This result reflects seasonal operating trends in Power Grids, some negative impact from the business having been in transition mode, plus ongoing restructuring and investments in the power-up transformation. Looking forward, we revisit on Slide 12 our financial framework, where we set out our approximations for key items. I will focus only on a few metrics. We anticipate corporate and other operational EBITA to be in the region of $225 million in the second quarter and expect to eliminate stranded costs of approximately $10 million in the period. Our ambition remains to eliminate around $60 million of stranded costs by year-end. Within non-operating items, normal restructuring charges are estimated at approximately $25 million, trending lower compared to Q1. Simplification program and Power Grids separation costs are conversely expected to trend higher, as we move beyond the scoping phases into implementation. We anticipate around $100 million and $75 million, respectively, in the second quarter of 2019. As well, we anticipate solid operating cash flow generation for the year as a whole, weighted to the second half. Moving to Slide 13, where we highlight some of the exciting developments around digital for the first quarter. Partnering with industry-leading companies is central to ABB's digital strategy. As you may recall, we enhanced the customer value-add potential of ABB Ability with the announcement of a global software partnership with Dassault Systemes at our strategy update event on February 28. With this partnership, ABB will develop and provide customers with advanced digital prints, enabling customers to run ABB's solutions and their operations with improved efficiency, flexibility and sustainability. The first joint solution from the partnership was showcased at Hannover Messe in early April. On April 1, the company also signed a Memorandum of Understanding with Ericsson, a multinational networking and telecommunications company, to collaborate on future 5G automation technologies for digital industries. 5G networks are set to provide inexpensive, reliable and low-latency communications. ABB believes wireless automation technologies could prove particularly useful in distributed facilities or mobile operations, for example, in water and wastewater or mining operations. Our ongoing successful collaborations with customers is further evidenced this quarter by Tetra Pak, the world's leading food processing and packaging company. ABB partnered with Tetra Pak to develop an ABB Ability energy program that in pilot projects has reduced carbon emissions and cut energy costs by between 15% and 25%. Moving forward, it will enable Tetra Pak's customers to run ABB Ability solutions and their operations with improved flexibility and productivity. Let's move to our transformation agenda on Slide 14. We achieved several of the transformation milestones for new ABB during the quarter. An experienced management team is now in place to lead the Power Grids carve-out process, and the separation of the business is on track. A strong project team for ABB operating system has been in place to oversee the simplification program since the start of the year. During the first quarter, a new business-led board that will govern ABB's global business services efforts was established and the sales organization was transferred to the businesses. Effective first – April 1, 2019, ABB's four leading businesses became operational. Overall, the implementation of ABB's new operating model, ABB operating system, is well underway. ABB is expecting to realize $500 million run rate savings during 2020 through ABB operating system, of which $150 million to $200 million run rate is targeted during 2019. Savings in 2019 will be achieved mainly through the streamlining of group functions and country organizations as they move to the businesses and the establishment of a new, leaner corporate structure. So let me summarize today's call with Slide 15 and our two main priorities for this year, running the company and managing the transformation. We delivered attractive order and revenue growth in the first quarter, demonstrating the quality and resilience of the new ABB. Against a backdrop of more subdued activity in some end markets, we aim to grow revenues in 2019, supported by our healthy order backlog. We are firmly focus on operational execution and the turnaround of GEIS. Overall, we expect operational EBITA margins to be better in 2019, aided by non-core improvement, stranded cost elimination and our simplification program, although GEIS integration will still be a headwind this year. We are making good progress on our transformation. The separation of Power Grids is on track, and the ABB operating system implementation is well underway. We are also very excited that our four leading businesses are now operational. Thank you for your attention. And we are now ready to open the line for questions.
Jessica Mitchell: Thank you, Timo. May we please ask everyone to stick with our convention of only two questions per person. And then I’ll hand back to the operator to open the question – for questions from the lines.
Operator: [Operator Instructions] The first question is from Martin Wilkie from Citi. Please go ahead.
Martin Wilkie: Thank you. This is Martin from Citi. The first question, Timo, you talked about the new ABB operating system now being underway. So just to clarify on that point. If the organizational structure now put in place fully for the $500 million savings, so all the people, the processes, the incentives, these kind of things. Just to give us some comfort that with a transition of CEO, that actually, all the people in the ground will be managing this transition are now fully in place. And the second question, and Peter, perhaps this is one for you. On the press call this morning, a lot of mention of the word culture. I just wanted to understand what you meant by that in terms of retaining the existing culture or pushing the organization more towards a culture of productivity, of ownership or something else. Thank you.
Timo Ihamuotila: Okay, thanks Martin. Timo here. So, I’ll start with the first question. So regarding the ABB operating system, first of all, we have the execution plans in place and we continue to execute exactly as we were planning to execute. And when you look at the organizational structure, we have already moved the sales organization and the businesses because that, as we have said earlier, is one of the key risk managements to be able to execute on top line. And I think our Q1 execution on top line actually shows that at least, so far, this has been working. We have plans in place now for each of the countries on how they move through the system, i.e. the all ABB operating system implementation with which the majority of the resources, as we have discussed, will move to the businesses. We also have an exact process with milestones in place. And we are – we have also targets for the functional organization and countries being rolled out as we speak. So we are on track with the original plan on how we were planning to do this.
Peter Voser: Thanks, Martin, for the question. Regarding culture. Let’s just remind ourselves what we are doing. So we are not just getting rid of the metric structure with the geographical presidents and the country organizations. We’re also moving a lot of things which have been done at the corporate level now into the four leading businesses. And that means also they will have to have new tasks, but they also will have to take different decisions. They will have different accountabilities. They will run different processes. They will run different monitoring. And at the same time, we want them to do be actually more frontline-driven. They need to be more accountable. They need to monitor things in a different way. So therefore, we talk a lot about culture. Instead of waiting until corporate actually brings something into the businesses, they have to do it themselves. In order to get speed into the organization, we need to push down accountability. We need to push down the decision-making process. We need to increase, as we are now working from A to Z, that means, actually, from R&D through manufacturing to the front line sales organization or the other way around, we will need a different decision-taking, for example, and therefore, we need to strengthen the risk-taking elements. We need to strengthen how they work with each other. And they cannot wait until corporate comes in and actually brings a new program and tries this. So therefore, culture needs to change. We also want to think globally, but act much more locally within the businesses. We want to have a more not fragmented, I would say, decentralized organization where the decisions are taken to the closest point possible to the customer. That all needs a different culture. That needs empowerment. That needs people to understand that when they take decisions, they’re also accountable for it. That was never the structure which ABB had for the last say 15 or 20 year, maybe even going back to the mid-90s. And that all needs to be built. And hence, we need a leader and we need also four business leaders who can drive this. And that’s why we put so much emphasis on culture, and I put personally a lot there because we need to help our people and lead us to drive this in a different way. For example, I’m sure some have used this – these type of examples, manufacturing in ABB was a lot of times actually a business center, a profit center. We will change this around because that will be one of the changes where we go through and change accountability structures. It’s the front end which will actually drive the sales process, and, hence, then later on the manufacturing process. So there are a lot of examples there, and that’s what we are driving. And the board was intimately involved into this design. I’m sure we’ll come back to that question later on. And therefore, as a board, we will put a lot of emphasis on how we manage this transition from the old structure, the old accountabilities, the old culture into the new one.
Jessica Mitchell: Thank you, Martin. We’ll take the next question operator.
Operator: The next question is from Gael de-Bray from Deutsche Bank. Please go ahead.
Gael de-Bray: Thanks. Good afternoon everybody. So, I’ve two questions please. The first one is, about the market trends in China. I mean, looking at the macro stats, we’ve seen surprisingly strong industrial production gross numbers in China in March this morning. And I was curious to see if you felt the same kind of improvement in your Chinese operations in March or perhaps also in early April. So that’s question number one. And question number two is, about the margin development in Industrial Automation. I think the Q1 print was probably the lowest reported in a very long time. And I mean, from the outside, it seems that perhaps you have under-invested in the business in prior years and that you now need to step up investments to fuel growth again in that business. So, I mean, could you – with that in mind, I mean, could you discuss the margin trajectory here for the business? And what we should expect in terms of mix and in terms of investments for Industrial Automation for the remainder of the year? Thank you.
Peter Voser: Okay. Thanks, Gael. I will take these questions. So first of all, when we look at market trends in China, I can’t comment on how the quarter went intra quarter, but we had, I would say, solid development in China. We had 6% order growth. We had a particularly good growth in Electrification Products. Robotics and Motion was a bit more mixed, I would say. In the Motion side, we had good developments. Robotics was more flat. And then in IA, we went slightly down in China. Then when we look at the Industrial Automation margins and this 13%, so it is impacted both by mix impacts where we have more solutions business. We have discussed this earlier that we would expect, when we move more towards growth in Industrial Automation, that the margin would come a little bit down, and then we will start building up from here. And you are correct that we invested also a bit more in areas like sales because when we look at our tendering pipeline, we feel that that is the right place to invest. We, of course, have to balance this with the right amount of profitability. And that’s why I also said today that we would expect the year-on-year gap to narrow from this 110 basis points when we moved from Q1 to Q2.
Gael de-Bray: Thanks. Just in terms of the bridge, the $29 million the loss of investments in growth you had at the group level. Would you be able to tell us how much of that was spent into Industrial Automation, perhaps?
Peter Voser: I think it’s pretty much fair share. Maybe slightly more, but not a big delta.
Jessica Mitchell: Okay. Thank you, Gael. And next question.
Operator: The next question is from Ben Uglow from Morgan Stanley. Please go ahead.
Ben Uglow: Good afternoon everyone. Thank you for taking the question. And Peter, on the press call this morning, you kind of talked a little bit about the attributes of the new potential chief executive. And I think you suggested that he would have to have some kind of strategy and a vision around digital. I guess, my question is, what really are you looking for here? Are you looking for somebody to come in and provide sort of hands-off stewardship [Technical Difficulty] somebody to come in and basically be more hands-on and drive down the costs of ABB, which some would argue has been the central issue? So that’s question number one. What type of CEO should we think about? Second question. Big, big picture, Timo, coming back to these margins. If I look at the growth, we’re looking at mid single-digit growth, 4%-plus, and have been, in fairness, for a little while. And the margins continue to not improve, and that’s actually the case in all three divisions, not just Industrial Automation. Do you think this quarter is just a kind of one-off, it’s just an unfortunate coincidence? Or do you actually think there’s something more structural going on which is not allowing your margins to expand despite decent top line growth? Thank you.
Peter Voser: Yes. Thanks, Ben. I’ll address the first one and then Timo will take the second one. When I started to answer Martin’s question on culture before, I talked about the businesses. Now the results, obviously, a major shift on the corporate side and see you are going more into that direction by linking it to my comments this morning. So the corporate side, where the head office is and the CEO is, that’s where we will much more focus on strategic development, on business development. We will have some, obviously, fiduciary duties, finance as well. We will have some overarching HR. And then we will have a strong component of, I would call, this R&D and ABB Ability, which really then encapsulates also the digital side. But at the same time, there is no CEO in any company without having the ultimate responsibility for the businesses as well. But we want clearly establish – we’ve called these entrepreneurial business leaders, we want to have strong business leaders in the verticals who drive their business, who drive for future [ph] sales also in terms of costs – competitive cost structures, getting the business fixed for the, let’s say, the growth side, et cetera, et cetera. So we are looking for a candidate going forward from the CEO side, which has very strong people skills, has very strong strategic skills, but also has business development skills. Hence, we mentioned the digital world, et cetera, et cetera. But also experience to run business as like we have, the four leading business. So ideally, it will be a person who has run such a vertical business, with full bottom line accountability. But I’m almost already a seasoned CEO somewhere. So that’s the profile we are looking for. But we will look specifically to the strategic elements, but also to, let’s say, the people culture elements, because you need to lead in a different way if you really want to empower your individual businesses to capture the full value, the full growth. So that’s what we see. And I also stressed this morning, we don’t – we want someone who will run this for a while. So we want to do this big change. And you know, as well as we do, culture change takes longer. We want to run – the person should run it for quite a number of years. So that he can give continuity. We structure, and then we want to run it and build it strategically up in order to achieve our long-term value the way we described it also on the 28th of February. So I leave it at that. But it gives you a kind of a profile we are looking for. Maybe you could ask, why didn’t you do it directly? We deliberately – I can come back to that, how the process worked later on. But we want to take the time to find the right person. And having been in this whole strategy discussions last year myself, knowing the company, I think what I’m doing as an interim is building that bridge into the future.
Timo Ihamuotila: Thanks, Ben. On the operating leverage question, so maybe, first of all, we had a bit of, let’s say, ABB level operating leverage coming from lower cost corporate where some of the cost actions are, let’s say, moderately starting to come through. Then when we look at business by business, so it is fair to say that in each of the three businesses, this quarter, we had a negative mix even if in B&R, and we had positive volume. In EP, this was more driven by more global systems and also medium voltage. And it’s a good actually that we are seeing some growth on that area. In IA, as we have discussed earlier, we had a bit more solutions business. And as I said, we would expect this gap to narrow now in IA going into Q2. In Robotics and Motion, it was really a tale of two stories, because on motion, we actually had solid leverage. But then in the robotics, the mix really turned negative, and that then countered the overall mix in the whole Robotics and Motion business. Now looking forward, we are, of course, working through this in a way that, as we said, we expect to improve margin during this year. And at least at the latter part of the year, we would expect to see a bit better operating leverage to come through as well.
Jessica Mitchell: Thank you, Ben. Next question please.
Operator: The next question is from Graham Phillips from Jefferies. Please go ahead.
Graham Phillips: Yes. Good afternoon. My two questions. First the one on the management changes Quite a lot, obviously, going on in terms of betting in acquisition, exiting power grids, particularly GEIS, I’m interested in. Could you talk a little bit about who led the acquisition task force in you purchasing that business? And how is it performing in terms of organic growth? And what product areas or business areas can we think about? Because I think we still lack a significant amount of information on that acquisition. And the second question was, again, just back on robotics and the mix shift. Can you talk a little bit about the competitive environment there, particularly on pricing and the impact to margin there? Thank you.
Peter Voser: I think Timo will take one – the first question. The second part, I will open up, and then robotics, he does as clearly as well. Depend – Graham, on the change management. I take it a little bit higher up from a strategic point of view. When the board went through the discussions with management last year, we had to take one big decision in this how we actually move on the transformation forward, whilst at the same time, implementing GIS, but also going the divestment of Power Grids and completely changing the set-up of ABB. But you could have done this in a kind on a staged way, doing the first two, three things the first year, and then later on, the next. But that would have given us another two, three years of big change, and we were just going through a few big years of change and different exercises, et cetera. So the board together with management decided, let’s do this in one go. That means we have all of the things, as you mentioned as well on the table. But I think we have resource in a way that we have prioritized it in the right way, and we are moving through that, and building the future and our leading businesses position them for growth in the future. So this was very deliberate decision to do this all in once rather than actually doing in a stage basis. Now, I guess Timo can give you a little bit more on GEIS and then also on the robotics question.
Timo Ihamuotila: So thanks, Graham. On GEIS, first of all, we are – when you look at sort of on annual basis, when we measure this and we look at the development, we are in line with the plan we created when we look forward. We all know that this business started with little lower margin than we would have expected when it came in. And we are – have very strong cost actions in place. When you look at our so-called normal restructuring, a big part of that is coming already from the GEIS integration during Q1. So, we are definitely executing the integration as we were planning. We are integrating this into three different business units, in Electrification Products. And these integrations are already underway. So as I said, there is no more like EPIS as it was. We are now integrating, and I would say, after maybe Q3 2019, it’s actually going to be difficult for us to even follow it totally separately. Then when we look at the robotics competitive situation. So even if the market has been tougher, and it’s been tougher to our competitors, as we have seen from their reporting. When you look at second half of this year, our top line has held better because we have had more robotics solutions business. But unfortunately, in the beginning, that business is also slightly lower margin, and that has impacted our situation. When we look at the robotics business overall, we have actually gained share in our view.
Graham Phillips: Okay. Sorry. Just to stay on the GEIS. I mean, it would be hoped – it would be disappointing that if just 12 months after acquiring it, you’re not really tracking how it’s going. I mean, that sounds to me like it’s something that should be tracked, because obviously, fairly large acquisition. We knew the business is shrinking. You made the comment that margins were perhaps not as good as expected. Is there any way you can address that, so investors can see how this acquisition is playing out?
Timo Ihamuotila: We will continue to give information. Yes, sorry, I didn’t mean that we would not have tracking. Of course, we have the board presented business case, and that board presented business case is how the whole electrification products will develop with this asset and that, we are tracking like hawks. I’m just saying that, if you take costs out from business and you integrate it into different parts, at some point, that business becomes part of the bigger business. That’s the whole point, how we will get the cost out. But yes, we are absolutely tracking it. And I can tell you that I have been presenting this tracking also in the board, so this is not like it would not be happening. So apologies if there was a wrong, maybe connotation on the previous answer.
Peter Voser: This is part of every board meeting, Graham. So don’t worry, we are tracking this one very closely.
Jessica Mitchell: Thank you, Graham. And we’ll move on to the next question.
Operator: The next question is from Michael Hagmann from HSBC. Please go ahead.
Michael Hagmann: Thank you very much and welcome back Peter. I was wondering, Peter, if you could tell us what you think for each division that one to three reasons, why these businesses have been delivering below par? And that I understand all the culture stuff, the structural stuff of the organization and so on. What I’m really looking after is, is it products, is it costs, is it distribution? If you could maybe enlighten us a little bit to work out how easy it will be for the new leader to fix those issues. Thank you.
Peter Voser: Yes. Thank you, Mike. That’s good to hear you again. I think your question is really broad. To do this for every business, then we would like – we would be here for quite a while. And I think if we look at what we have done over the last few years, we have – through the focus and through the various programs, we have sharpened the operational performance over time. And you have seen this, for example, in 2018 coming through in all of the business on the top line growth side, both on the order and the revenues et cetera. I think I would put the finger on between the top line and the bottom line or the EBIT line, whatever you want to use. That’s where the operational sharpness, the productivity was not entirely to what we were planning when we went through all these stages. So, I think that’s the piece, which we will need to simplify, where we need to have different disciplines, where we have to have really the business management focusing on the delivery side there. And I think that’s what’s being embedded also through the OS system now. That’s also why we have decided to give them much more control over the costs, which were sitting in corporate, so the 16,000, 17,000 people. So I’m not blaming the businesses alone, or I’m not looking at them alone, because this is the total – totality you need to take, and actually, allocate the accountability in the business is now in a different way, because they were getting charged by the corporate side by things outside their businesses, which we’re not responsible. And I think that’s a piece, which we’re now fixing et cetera. So, I think for me, it’s the operational sharpness side, which we need to further strengthen. And a lot of that, in my opinion, has to do with the accountability, decision-making and the business models here running in each of the businesses. So, a next step going down, you would then have to take each business apart. But I think high-level at this stage, but that’s where we would from a board, but also from a management perspective say that’s where we have got to sharpen things a little bit more.
Jessica Mitchell: Thank you, Mike.
Michael Hagmann: No issues with the competitiveness of the product or the channel offering?
Peter Voser: I think there, we – I would say that we are confident and happy with that side on products, solution and systems. I think ABB Ability was mentioned. We have obviously strengthened the portfolios in some part. Now that’s a general answer. One can take this one down now. You will find everywhere, you will find some issues. This is just a normal business. You fix it and then you move on. I think we have been also transparent over the last two, three years, where we have some issues, some we have actually taken out and do it in non-core now when we started to risk-adjust our portfolio through getting out the VPC et cetera. So, I think we have moved on there, but you will always find something. But growth model, in that area, we are actually quite content.
Michael Hagmann: Perfect. Thank you.
Timo Ihamuotila: Can I just make a comment here? Timo here. So for example, if we take the motors business, just that there is visibility, that there are businesses in the portfolio, where the operational execution has significantly improved. When we look at the motors business, we have less under absorption. We have more tight manufacturing set-up. We have better cost structure. We have better quality. The business is growing. And also, the gross margin has gone up. So again, we need to just replicate some of these in other businesses to make sure that this operational excellence is really driven in different parts of our businesses.
Michael Hagmann: Thank you.
Jessica Mitchell: Thank you. Moving on, can we have another question please?
Operator: The next question is from Alok Katre from Societe Generale. Please go ahead.
Alok Katre: Hi. Thanks for taking my questions. A couple of them. Firstly, just on industrial automation. Timo, we’ve seen base orders have been pretty strong for some time now. But we’ve kind of not seen a catch up on the sales line, and I understand some of this could be the large order backlog as you work through. Just wondered when should we kind of expect the effects of this large order backlog that is being worked through the way and in revenues, therefore, to move a bit more closer to the base order business, because I guess, the large order environment isn’t, let’s say, as robust anyway. So that’s question number one. And then slightly coming back to the management change. I mean, there’s – in the press call and also today, I think there’s a big focus on culture change, but also on digital, just wondering on the latter side, what exactly are the gaps that are being – that are – that you are thinking about in terms of the digital offerings? And then is it fair to say that the new CEO candidate that you would go out would have – would not be bound by the current vision and have the freedom to do his own assessment and full-year reviews, et cetera? Or because that probably then allows you a bit more choice I guess.
Timo Ihamuotila: So, thanks, Alok. First, it’s Timo here, if I start with the IA question. So, it is true that our backlog in IA, which we have been now building during 2018 and also the beginning of 2019 is quite long-term and a lot of that stuff comes in also later if we look at some of the cruise orders, for example, these can be even be some years out before they are revenued. So, when we look at the order backlog coming to the revenue, we would expect to see, let’s say, some modest improvement there maybe going into second half, but that’s the situation regarding the IA backlog.
Peter Voser: Yes. Thanks, Alok. On the first one, I didn’t say – or we didn’t say in the sense that we have got gaps in the digital offerings. We have actually said we made good progress on this side. What I said this morning is actually that we want someone with a strategic mind, who will also has experience in the digital world. Let me put it in a very general way. So, from that point of view, just to correct that, that was not what I said or the intention if that came across like this. So, the second one is a crucial one, because quite clearly, when you change, there is always the perception that who comes in new, will just turn everything upside down and do something else. I’ve quite clearly said we want someone in, who can stay for the longer term. But we also have clearly made the statement that the board, and this is, by the way, also under Swiss law, the board is actually responsible for the strategy, that the board is fully supportive and behind the strategy. And one of the three key requirements will be that this strategy will stay and will be executed. Now, you can always argue when you execute the strategy over two, three, four years, you will always find things, which you will adjust over time, because the world is not going to stand still. Technology will move, et cetera, et cetera. Obviously, one would address that and also take that into account. But we have set our goals for the next few years and we will execute this one and the buy-in into the strategy is a key requirement of any new person coming in.
Jessica Mitchell: Thank you, Alok. Next question please, operator.
Operator: The next question is from William Mackie from Kepler Cheuvreux. Please go ahead.
William Mackie: Yes. Good afternoon. Thanks for the questions. A couple. And firstly, on strategy and cultural change again, Peter. As you highlight that the board confirm and support the strategy, which is driving accountability and a greater autonomy to your divisional heads. And I think where I guess there seems to be a bridge to cross is that the divisional heads you have today are products of a culture that has been developed over 15 or 20 years in ABB, and now you are trying to change. So can you help us understand? Given that the CEO will have a broader responsibility strategically, how you can assess that you have the right people at the divisional level in place to support this organizational and cultural change that you are targeting? And then secondly, on more detail perhaps with regard to the numbers, could you update us with regard to the short-cycle industrial activity? How the B&R business has been developing within IA? Is that part of the responsibility for margin weakness? And then lastly, with regard to the corporate expense developments. Timo, I noticed that there seemed to be almost no charges relating to the legacy non-core stroke EPC-related business. Is that something we should now expect for the full year? Thank you.
Peter Voser: Okay. Thanks, William. Yes, a key question. Because when you restructure and you put more autonomy, more decision power, you also measure obviously, then difference on a full bottom line impact basis, you need to assess your leaders. That’s quite clear. And I would argue that not all of them have 15, 20 years in ABB. They themselves have also developed over time. They themselves are also part of the strategic change, which we are going through. They also will grow in their roles, because they will – most probably for the first time, that’s absolutely right, will be in charge of the entire business. And if things are not working, they will have to sort this out rather than relying on a corporate restructuring program to bail them out as I normally say. So, they will grow in their roles. There is no doubt. They will be measured. We will see their performance. And we have the confidence that these four leaders are now full for the moment. Power Grids is that will go over to eject it, that they will drive this in the right way and will be part of the big cultural change. And I sat together with them yesterday, and we actually already decided on a few things, which we are now pushing faster down into these business areas, so that they will take full accountability of this. And I think that’s a journey, which we are going through now. And then I am confident that they will absorb this and grow in their role as well. And I put a lot of emphasis on that, because whenever I took actually a new role in the past, most of the time, they all – they had questions. Can you actually do this? But normally, you grow in a role. You have the capacity to go up. You are still learning. And I think that’s what’s going to happen here. And so therefore, we will drive this culture change also at the most senior levels, and they will grow into their role.
Timo Ihamuotila: Okay. Thank you, William. On the short-cycle industrial activity, when we look at B&R, as we said, we have seen some slowing down in this grid, and B&R is part of that. So, it has a bit of an impact on the Industrial Automation. And that’s why I also highlighted that when we now move to Q2 and the Industrial Automation will be in the new structure, where this grid automation moves together with robotics, we expect that to have a slight positive impact on Industrial Automation operational EBITA margin. And then when we look at the corporate lines, so we came in better than our estimate. And there is also about $10 million of improvement inside that line in non-core, but non-core can be lumpy. And there are also some savings coming through. And when we look at full year, we continue to expect to be on that $800 million level for full year, as we said, after Q4 2018.
Jessica Mitchell: Thank you, Will. So, we are getting close to the hour and we’ll take a last question from the line.
Operator: The next question is from Jonathan Mounsey from Exane BNP Paribas. Please go ahead.
Jonathan Mounsey: Hi. Good morning.
Timo Ihamuotila: Good morning, Jonathan.
Jonathan Mounsey: Afternoon even, it’s been a long day. In terms of Power Grids and the carve-outs, I think particularly in regards to the stranded costs, both in terms of the complexity and how long dated it is to resolve, just thinking about a new CEO, wish them to come in, maybe trim the portfolio further. Given how difficult it is with Power Grids, is it really possible to address the portfolio in the near-term further in terms of the subdivision or even a whole division? Or do you now need to migrate to the new operating structure to create the optionality around the portfolio? Or do you, in fact, have – are you happy with the portfolio as it stands today?
Timo Ihamuotila: Thanks, Jonathan. I think I would start with the answer to your last question. I think the portfolio, which we have is the one, which we are driving forward. That’s also the one, which we have agreed with the counterparty on with Hitachi. But on the other side, let’s be very clear, we manage this business until it goes over to the other side. And therefore, we will take all the measures and all the steps in order to have a profitable business, which is in good shape when we are handing this one over. So, if in six or nine months’ time, we have got – we come to the conclusion that we need to act on the portfolio side, one we can start to implement that on think through, check, and then implement it. So, it doesn’t mean it’s all kind of fixed. But it’s quite clear that the contract, which we have said is that we take our Power Grids business as is and bring it to the other side. But I think there is no leader and no business person in this world, if it doesn’t work, then you need to take action, because you want to have a profitable long-term value-generating business. So, I think this question will be checked on an ongoing basis, like you do for all your businesses. But I think the key plans for Power Grids this year is to hand over a profitable business in all – with all its details in all the different business lines by the time we are closing the deal.
Jonathan Mounsey: Just to be clear. Rather what I meant was on the remaining divisions, do you envisage the incoming CEO as perhaps trimming that portfolio? Or is it, in fact, not possible given the current structure of the group? Do you need to migrate to the new structure, the devolved structure, before a new CEO could possibly address the rest of the portfolio?
Timo Ihamuotila: Let me put it this way. As I said earlier in the call, we are doing everything at the same time. So management is just focusing on the few things I have outlined there. Again, it is normal business practice that you generate value for the longer term. And hence you are challenging yourself on all of the businesses you have at any time in the year, there is a portfolio process review, which we do inside the company, inside of ABB. And we manage, let’s say, according to those processes and rules. So therefore, this is a constant process, which we are working between management and the board. And if we see or experience anything, then we will take the appropriate actions. But my first comment was very important. It’s not the structure or the legal side or the tax side or what have you, which would block us to do so. I think it’s much more management capacity to do this at the same time when we are carving out one business, when we are restructuring around the 30 years of another business, when we are building a new accountability structures, when we are moving 17,000 people from the one side to the other, I think for any management in this world, this is quite a tough agenda, and that’s what we’re going to execute. But we will not lose sight of what one could improve on the other side. But I think we have managed now, I say we, which means the board and obviously, management, we have got enough on the table at the moment.
Jonathan Mounsey: That’s very clear. Thank you.
Jessica Mitchell: Okay. Everybody, thank you very much for joining us and as always, IR is available to follow up with any remaining questions you may have. And with that, we’ll say goodbye.
Operator: Ladies and gentlemen, the conference is now over. Thank you for choosing Chorus Call, and thank you for participating in the conference. You may now disconnect your lines. Goodbye.